Operator: Ladies and gentlemen thank you for standing by. Welcome to the Astro-Med Inc. third quarter fiscal 2009 earnings conference call. During today’s presentation all parties will be in a listen-only mode. Following the presentation the conference will be opened for questions. (Operator Instructions) I would now like to turn the conference over to Stanley Berger; please go ahead, sir.
Stanley Berger: Thank you. On behalf of the management of Astro-Med, we are extremely pleased that you have taken the time to participate in our conference call. Thank you for joining us to discuss the company’s fiscal 2009 third quarter financial results and business outlook. Before I introduce management, I would like to remind everyone that certain statements made during the course of this conference call, especially those that state management’s intentions, hopes, beliefs, expectations or predictions for the future are forward-looking statements. During the conference call we may have made forward-looking statements within the meaning of the Securities Exchange Act of 1934. These statements are based on the company’s present expectations and beliefs concerning future events and are necessarily based on certain assumptions which are subject to risks and uncertainties. Actual results may differ materially from those discussed here. More information on these risks is included in the company’s filings with the Securities and Exchange Commission. By now you should have received a copy of the news release which was issued yesterday after the market closed. If you have not received a copy, please go to our website at www.astro-medinc.com, where a copy of the press release can be downloaded from the Investing section of our home page. Hosting the call today are Albert Ondis, Chairman and Chief Executive Officer; Everett Pizzuti, President and Chief Operating Officer; and Joe O’Connell, Senior Vice President, Treasurer and Chief Financial Officer. At this time I will turn the call over to Mr. Ondis. Albert.
Albert Ondis: Thank you Stanley and as Stan mentioned, with me here on this opened phone are Everett Pizzuti, the President and Chief Operating Officer and Joseph O’Connell, Senior Vice President and Chief Financial Officer and after I finish my brief report, you will be hearing from them and following these presentation we will be taking your questions. As you know from the report we issued yesterday after the close, we did I would say okay in the third quarter; although we certainly missed our target due to the grim economic situation that we are facing. You’re going to hear more about our results when Everett and Joe give their detailed reports in just a few minutes. Where do we go from here? Well first, let’s take a brief look at various parts of our business. Our Test and Measurement Instruments Group were up by a little over 9% during the quarter and we have no reason to think that this will not continue. Our ruggedized products which are components of our Test-to-Measurement Group are slightly suffering due to the delays by Boeing with the 787-aeroplane and Airbus with both the A380 and the A400M planes, but indications are that these programs will shortly be back on track and we meanwhile are getting new orders from other less well-know contracts that we have. So we are confident that our ruggedized business is quite healthy and will deliver good results for us in the future, certainly by the first or second quarters of the New Year. Our Grass Technologies business is especially promising. The strongest part of the Grass business is what we refer to as the sleep diagnostics business and during the quarter which just ended, it was up more than 30%; and by the way the outlook is excellent that this will continue. Overall the largest piece of the business of Astro-Med is our color label and consumables activity which we call QuickLabel Systems and although this is a business-to-business business, our customers serve a larger number of retail customers who produce labels for beverages, foods, auto tires and a range of other products that are all identified with the retail trade and of course the retail business is down slightly and it will not become dynamic and vigorous again until retail customers begin buying again and when that will happen I guess, your guess is probably at least as good as mine. Looking at our business overall therefore; we do expect growth for the next couple of quarters, but it will be rather nominal growth. Thanks to our conservative management practices over the years, we feel that we have before us a great opportunity right now to use our strong balance sheet to make some advantageous acquisitions at favorable prices and we have begun the process right now by identifying some attractive targets. As we have said before on the subject of acquisitions, we will make acquisitions solely that will fit into our present business mold; we are not going to acquire any business that will take us far a field from the businesses that we know and secondly any acquisition that we make must be accretive to both profits and revenues. The overarching business plan therefore is firstly to concentrate on growing our present businesses through continued research and development of new products as well as by continuing to strengthen our sales and marketing activities and then by acquiring accretive businesses to stimulate our business. With that said about what our ongoing plans are, I’m going to turn the meeting over for a movement to Everett Pizzuti, President and Chief Operating Officer. Everett.
Everett Pizzuti : Thank you Albert and good morning everyone. I have a brief report this morning. You may remember during our conference call on August 20, we stated that most of the QuickLabel Systems products that we sell are to manufacturers of a wide range of products for the industrial and retail markets. We went on to say that based on the slump in the general retail market at that time, we anticipated some additional softening in the market for our printers and consumables and as you all know, economic conditions did indeed continue to degrade since July and so we experienced softening in demand for our QuickLabel Systems products in our third quarter. We hastened to point out however, that sales of these products and by no mean so soft as to produce an unprofitable bottom-line; really, interest in the color printers remains quite, even though final decisions to purchase are postponed temporarily. Well those sales of color printers down were down in the quarter, we’re happy to say that consumable sales were up by nearly 3.5%. Our third quarter as you know includes August, a traditionally a heavy vacation month for many of our customers around the world. As a result, sales are usually lower than in the second quarter. On the P&L front, sales were impacted mainly by delays in shipments of the ruggedized products, due to postponements by both Boeing and Airbus. We expect however, to ship more of the ruggedized products in the fourth quarter. Our Dash products however, were up over 20% in the sales from our domestic customers. We see these trends continuing in the fourth quarter, as orders for our Dash products continue to come in from a wide range of customers in the aerospace and industry. Moving now to our Grass products for medical applications; although sales were down from our targets, we did receive some very good orders that will be shippable in the fourth quarter. Additionally, new opportunities and quotes for our Grass products for Sleep and EEG increased substantially, paving the way for a strong fourth quarter for Grass. Sales from Europe at our branch offices were up for all product groups: QuickLabel, Test & Measurement and Grass and we expect this to continue in the fourth quarter as well. Overall, we see the fourth quarter up over the third quarter in both sales and earnings and that’s my brief report Albert.
Albert Ondis: Alright, thank you Everett and now, Joseph O’Connell, our Senior Vice President and Chief Financial Officer. Joe, let’s hear from you.
Joseph O'Connell: Good morning, everybody. Thank you Albert, I appreciate that. Well, you’ve heard some of the specifics and let me just put some of the numbers to some of the comments that you’ve heard from Albert and Everett. Good morning again. As you heard Astro-med’s third quarter ended November 1, 2008 and as you’ve heard, the company’s sales in the third quarter was $17,681,000, representing a 7.6% decline from the third quarter sales of the previous years. Our sales volume through our domestic channels reached $12,653,000 being lower by some 7% from the domestic sales volume reported in the prior year. International shipments were $5,027,000 representing 28% of our total sales and were lower than the previous year’s third quarter sales by approximately 9%. Hardware sales as you heard is a prime reason for the lower sales at $8,037,000, while our concern able in service and other sales at $9.6 million we’re actually up 1% year-over-year for the third quarter. If we profile the third quarter sales by segment, we have our Test & Measurement group, including the ruggedized at $4.1 million for the quarter. Again it was mixed results here and as you heard strong performance by the Dash line, which is up over 21% however as you heard on the delays for the 380 and 787 aircraft caused the lower sales level for the ruggedized product. As a consequence, the overall sale for the Test & Measurement product group was down. Sales in our QuickLabel Systems product group were $9,232,000 in the third quarter, lower by just about 7% from the prior year sales of $9,917,000. Again, here as you heard, the hardware sales were the prime reason for the lower sales. As also as you heard from Everett, our consumable business was up by some 3.5% year-over-year. Grass Technologies product for the quarter was $4,351,000, being basically lower than last year’s sales of $4,763,000 for the same period timeframe. Here the company’s clinical markets were flat year-over-year, however as a result, we had strong sleep and strong EEG sales, unfortunately offset by lower long-term epilepsy monitoring sales. We also saw some softness in our research instruments business, as some of the grand funding has slowdown. Gross profits in the quarter were $7,647,000; that’s down 8.7% from the prior year’s gross profit, but does reflect the margin of 43.3%, slightly lower than last years margin of 43.7%. Operating expenses in the quarter were down at $6,558,000 which represents some $0.37 on the sales dollars. Our selling and G&A spending was down 2.7; however as we continue to invest a new products, our R&D spending was up 5.9% at $1,254,000. The company earned income from operations of $1,089,000 in the quarter with a corresponding profit margin of 6.2%. This result is behind last year’s operating margin of $1.7 million with a corresponding margin of 9.1%. In the quarter, our other expenses was $237,000 representing a mix of dividend, and interest income offset by some exchange losses as a result of the currency and the stronger dollar. Our tax position; the company’s federal state and tax provision in the quarter was $203,000, reflecting an effective tax rate of 23.8%. The lower rate being traceable to a benefit of $71,000 related to the recently past expansion of the R&D tax credit and a benefit related to differences between the prior tax provision and the actual returns that we filed. As a consequence, the company earned $649,000 in the third quarter, reflecting an earnings per share of $0.09 and a return on sales of 3.7%. The prior year’s net income for the third quarter was $1,562,000 or $0.21 per diluted share. The prior years net income did include a tax benefit of $446,000 or $0.06 per share related to the completion of an IRS examination and certain exchange changes in uncertain R&D and foreign tax positions. Prior to discussing the balance sheet, I thought a review of the nine months results would be appropriate at this point. The company has achieved sales in the first nine months of $56,152,000 as of the end of November 1, 2008. The year-over-year growth is 3.5% with our domestic sales at $39,177,000, up 2.6% and our international shipments at $16,975,000, up 5.8% from the prior year. This year’s sales were distributed by segment as follows: Our Test and Measurement, including the ruggedized product is at $12,549,000, up 1%; Quick label systems at $29,616,000 is up 4% over the last year and our Grass Technologies business at $13,991,000 is up 5% year-over-year. The company did realize gross profits for the first nine months of $24,516,000 reflecting an improvement of 6.4% over the prior year and representing a margin of 43.7% against last years 42.5%. Spending in the selling R&D and G&A accounts increased 4% over last year to $20,203,000. Our selling G&A expenses were up 3.2% to $16,523,000 whereas our R&D spending increased 7.7% of $3,680,000 representing some 6.6% of our sales dollars. Astro-Med has earned some $4,313,000 in operating income for the first nine months. This result reflects an improvement of 19.1% over the previous years operating income, as well as providing an operating profit margin of 7.7%. That’s some 100 basis points improvement over the prior year operating margin. Other income and expenses for the nine months is flat as a result of the interest in income and dividend income being offset by the foreign exchange losses. Tax provision; we have provided federal and state income taxes of $1,612,000 for the nine month period reflecting an effective tax rate of 37%. The prior year’s effective tax rate was 30% for the comparable period as the company incurred some one time tax benefits that lowered the effective rate in the prior year. Estimates earned $2,701,000 in net income during the first nine months of the current fiscal year. These results translate into $0.36 per diluted share and a return on sales of 4.8%. For the corresponding period in the prior year the company earned $2,969,000 or $0.39 on a diluted per share basis. The prior years net income includes some $446,000 or $0.06 per diluted share related to favorable revolution of certain income tax examinations. Quickly moving to the balance sheet, the company has increased its cash position from the beginning year by some $4,537,000 or roughly 26% to $22 million or $93,000 at the end of the third quarter. Our trade accounts receivable have declined in the same timeframe by some $2,387,000 million to $10,374,00 million, representing some 53 days sales outstanding, a five day improvement from year end; a 58 day sales outstanding. Our investments in inventories have also downed from the beginning of the year. Current quarter balance is down by some $1,345,000 million, approximately 10% to $12,706,000 million, representing a 114 days on hand. Again an improvement in our turnover from the year ends 126 days outstanding. The company had spent on capital expenditures during the first nine months $1,211,000 million, primarily associated with building improvements, machinery and equipment and information technology investment. Again the total spending on capital expansion is slightly higher than our depreciation expense for the first nine months on $1,100,000 million. The company’s paid cash dividend of $1,258,000 million representing $0.06 per share per quarter. Our book value at the end of the third quarter is $7.34, that’s a 5% improvement over the year end balance. Our employee population is flat with the year end at 398 folks and we improved our sales per employee from the year end of $180,000 per employee to $187,000 for employee at the end of the third quarter. That completes a review of the financials.
Albert Ondis: Thank you very much. Before we take your questions, let me give you another view of our guidance. We are currently saying that for the 12 months of the current fiscal year which ends at the end of January, that our total revenues will range between $74 million and $76 million and earnings per share will range between $0.45 to $0.50. Thaddeus, I think we are ready for questions now.
Harvey Saffron - Private Investor: I know you are going through some tough times in the world economy and you guys have held together pretty well I think and you are running the business I think quite well. I’m just wondering Albert; in your initial predictions at the beginning of the year, you were looking for a possible dividend increase of 8% to 10%; is that still in the chords?
Albert Ondis: Dividend increase; I would say that our goal is to do that on an annual basis. I think that we are going defer that; we’ll see what the board has to say at our last meeting. At the present time, since we will probably not achieve last year’s figures, we in all likelihood will not make an increase, but we will see what happens as the year proceeds.
Harvey Saffron - Private Investor: And Albert this cash position moving up from the $17 million, $18 million level to the $22 million level and your comment on the fact that you would be looking for accretive acquisitions, would it be in one of the three areas you already pursue or would you look at a fourth direction, even if there would be a fourth direction it would be tied together to your other three types of businesses?
Albert Ondis: Well, the truth of the matter is that we want to stay as closely connected to the businesses that we understand so well Harvey and so it’s unlikely that we would go into a four category. I think that one of the three major groups is what we’re looking at.
Harvey Saffron - Private Investor: So, it would be one of the; the Test and Measurement or the QuickLabel or the Grass?
Albert Ondis: Yes, right.
Harvey Saffron - Private Investor: Do we still have curiosity, I will put as a word for possibly gaining, which is the opposite of acquisition, a possible if the write-off came alone in the Grass Technology situation?
Albert Ondis: You mean divestiture?
Harvey Saffron - Private Investor: Yes, in words; would there be an interesting enough number with that division pretty much growing nicely. Would there be enough growth in that to command a significant price that would get the company pretty much a ton of money which would make acquisitions in the remaining two phases; both the T&M and the QuickLabel System, have the opportunity really get some significant purchase of an additional kind of acquisition?
Albert Ondis: Well Harvey, I think that we have enough cash on hand and the ability to acquire more money to make the kind of acquisitions that we’re interested in. I would hate to name a figure that I would think would justify the divestiture, because that would really be a very big kind of money; you use the word kind of money; but we are not really, even faintly interested in divesting any of our businesses.
Harvey Saffron - Private Investor: But Albert, if somebody came alone and said “I’d give you $75 million to $100 million for the Grass Technologies,” would that be a number that would tweak your interest?
Albert Ondis: Will it be US dollars?
Harvey Saffron - Private Investor: Yes US dollars.
Albert Ondis: Well, I would invite anybody who wants to do that to test me.
Operator: Your next question comes from Joe Furst - Furst & Associates.
Joe Furst - Furst & Associates: I have just a couple of questions and one comment and then the questions. One of the things that I’m really disappointed in is your stock price is like 561 right now. I mean its way under book value; you have over $3 here in cash. So, people are evaluating this company; they’re paying $2 million or something for the value of the company. I just do not understand and I would highly encourage you to buyback stock at these levels and maybe even make a tender offer for a certain amount of stock because you when you do the math, any stock you buy under book value, adds to the book value of the company and increases earnings per share and so you’re certainly not getting much on cash levels these days and I would think you have plenty of money to make a reasonable acquisition and buy stock back also. So I will encourage you to do that.
Albert Ondis: Yes and we have the authority as you know to buy a substantial amount and when we emerge from the blackout period, which will be for all practical purposes on Monday; we’re going to be looking carefully at the stock price and we will probably be active in making some acquisition there. We agree with you that the current price does not reflect the interest and current value say nothing of the value that will come as we roll out the plans that we set forth to you this morning.
Joe Furst - Furst & Associates: Thank you and I mean if another reason that would help your shareholders. Because your shareholders are sitting out here dying in this environment and at you need to do something to support your shareholders that have been supporting you for so many years.
Joseph O’Connell: Agreed.
Joe Furst - Furst & Associates: And secondly talking about acquisitions, well you’ve talked about that before, but nothing’s ever happened. Are you taking it a little more seriously now or are you actively looking at things or are there potentials in the near-term?
Albert Ondis: Yes, we think that the opportunities that are available to us as a result of the collapse of our economic sector are considerable. We think the opportunity is very great and we’ve really begun with process; we’ve identified a handful of target companies and we’ve begun the process and we hope to have some good results to be able to announce in the months ahead. So, yes we have been serious about it.
Joe Furst - Furst & Associates: Can you expand a little bit or talk a little bit more about the ruggedized printer business and these airlines. I know it’s been delayed because of delays in different planes, but tell us a bit more about when that’s coming back on and what that means?
Albert Ondis: Well, in the first place we have a lot of orders, a lot of contracts; we have a substantial amount of business that’s in the offing and as I said earlier, as a matter of fact Everett has handed me while we are speaking a list of some of the contracts we have. We have the Airbus A380 through a company called Sagem. We have the Boeing 787 flight deck printer; we have the Boeing 787 cabin printer. We have contracts with Panasonic for cabin printers for the 757, 767, 777 as well as A380. We have contract with DRS Technologies and for Ruggedized Ethernet Switches for various Military Vehicles. We have the Boeing C-17 flight deck printer. We have the Airbus A400M which is a cockpit printer. We have the Boeing C130 cabin printer. We have the Lockheed Martin C130J and there are number of other pending contracts, a half dozen other pending contracts, so there is a lot of business in our book and it remains with some of these airplane contracts to get rolling. As I said in my opening statements, we think that no latter in the first or second quarter of the New Year we will begin to see some significant sales, but its good business; we’ve made a substantial investment in engineers and testing equipment and qualifying testing equipment for conducting all kinds of qualifying qualification tests; temperature, heat, vibration and so on and we are constantly being audited by the contractors as a matter of fact I believe next week we will have some people in from Airbus is that not right Albert.
Everett Pizzuti: Yes, we had some people in actually today and next week we’ll have another group in. Virtually a week doesn’t go by when we don’t have some kind of an auditor here and obviously these audits are all very favorable on our behalf.
Albert Ondis: And these audits are not financial audits, they are audits of our facilities and our methodology and our testing equipment and so on. So, we have a lot of business and I believe that a lot more will be coming in our way as a result of the outstanding performance that we are conducting with our current contract. Sorry, for the long winded answer, but we are very confident about the future for our ruggedized products.
Joe Furst - Furst & Associates: And one more quick question; in the Test and Measurement, I think you announced in a comment in a call or two ago about being the preferred provider for a certain machine in that area there were a whole bunch of centers that could possibly buy these things and they apparently buy one of the products every two or three years; is that where some of this increased sales is coming from?
Albert Ondis: You may be referring to some of our non-ruggedized Test and Measurement instrumentation.
Joe Furst - Furst & Associates: Yes, that’s a different area, right.
Albert Ondis: Yes, that would be probably one of our Dash products, probably the Dash 18, but it could also be the Dash 8. Possibly, it was the Everest filamentary recording system, which is in every filamentary center where testing and launching of aero planes and satellites are conducted. I’m sorry; I can’t be a little more…
Joe Furst - Furst & Associates: I thought you were referring to something in the medical area.
Everett Pizzuti: Yes, you are referring to the Grass contract that we have. We have a contract with Premier, which is a group purchasing organization. Yes, that is certainly helping us to get more business especially in the sleep area, in the area of sleep, because there are 1,500 hospitals in that group?
Albert Ondis: Yes, right there are a lot of hospitals in that group and they are not obligated to buy off that contract, but it really gives us a head-start over other people and it is at a competitive price. So it enables them to buy from us quickly, because they already an established competitive price and as a matter for fact, that was Premiere; but right now we’re in negotiations with another big GPO, a group called Broad Lane and it’s also a very good group and we hope to hear something on that within the next month or two.
Operator: (Operator Instructions) Your next question comes from Ronald Cohen - Private Investor.
Ronald Cohen - Private Investor: I’ve been associated with Astro-Med for over 20 years and a shareholder for over 10 years. At this time I feel that I have to say something, because I feel that a great company such as Astro-Med should be performing better on the stock. Even in these challenging times, the company is performing well, making a profit and paying dividends. However, there is a constant lack of volume and without substantial increase of volume; the stock will never go anywhere, that’s my opinion by the way. The stockholders suffer as a result of this and nobody seems to be doing anything about it. Internet conferences are nice, conference calls and so forth, but it is basically the same group of people who participate every time. I believe that Investor Relations specialists should be employed as soon as possible. I just think that Astro-Med is doing enough to enhance shareholder value.
Albert Ondis: Well, appreciate your comment Ron and I agree with you that the price is lower than it should be and that we don’t get the recognition that we should despite our serious efforts to put the spotlight on our company, but I am quite confident that with continued good results and appearances at various conferences and we’re going to be appearing in a conference in less than a month in New York and there will be others as well; we’ll get the attention that I think we deserve.
Ronald Cohen - Private Investor: Okay great, because I think you guys do an outstanding job there and I respect all of you there and hopefully we can get something going.
Albert Ondis: We’re with you.
Operator: Your next question comes from Gary Siperstein - Eliot Rose Asset Management
Gary Siperstein - Eliot Rose Asset Management: I want to take a step back and following the lines of the last two questioners, if we look at the situation from a couple of hundred thousand feet up in the air, the stocks lower now than it was five years ago; adjusted for stock dividends and splits, granted it’s a bare market, recessionary time, but there has been no real return to shareholders. In terms of valuation, as Joe mentioned a couple of questions ago, with a $45 million market cap and $22 million in cash, that leaves $23 million enterprise value. Arguably your multiple acres and 200,000 square foot facilities which owned and were purchased over a decade ago if not 15 to 20 years ago, its worth another $8 million to $10 million. So that gets you to a valuation of probably, maybe $12 million or $13 million existing out cash and real estate. So, that’s like a buck of share, buck and a half a share enterprise value to the business, that’s generating as you said $0.45 to $0.50 in a recessionary time, so the valuation is just ridiculous. We know about the historical inability to get any research on the company because we are a Microcap. We’ve talked about, the fact that for a small company, we have a CEO, a President; two positions when company’s our size typically have a one, so they are double salaries. The entrenched Board, which has been conservative and there is nothing wrong with that, but one wonders maybe too conservative and I’ve argued before on this calls that instead of making acquisitions with all the risk and we know about the risk after we bought Grass, it took many, many years to fix it; with your stocks are cheap; you couldn't make an acquisition as cheap as your own stock. I don’t think you’ll find anything out there that has some enterprise value of about 15% of sales and three times earnings. So, I think you got to be much, much more aggressive. You’ve had the buyback in place, you’ve bought it optimistically, but I think you got to be a much more aggressive on the buyback and maybe a Dutch tender comes into play. Secondly, I think you need to seriously consider, increasing the cash dividend. I mean I was surprised at you’re hesitancy there; granted it’s a recession, but these are things you can do that aren’t going to jeopardized the company, which will create some support for your shareholders and give them some return on the money. I’ve talked in the past about special dividend and then finally, selling the company. I mean, it’s been many, many, many years and as you’ve heard on the call, there’s a lot of frustrated shareholders. The company is never going from like 5 to 25 and then down to 15 in a bear market and then the next bull market to 40. The stock has been between 5 and 12 for probably a decade. So, I think it’s time the company looked to do something morale and principled and fiduciary for your shareholders. It’s not about keeping Al Ondis in his eighties employed as CEO and just hoping and hoping after 20 years. Isn’t it time you did something for us.
Albert Ondis: Well, I appreciate your comment and we will certainly take them well under advisement.
Operator: Your next question comes from Joe Furst - Furst & Associates.
Joe Furst - Furst & Associates: I wanted to second, what Gary Siperstein just said to you. I agree with that 100%. One of the problems in your stock price and getting people to buy has been the seeming lack of a succession plan. People are concerned because of the ages of all you. Have you done anything to address that?
Albert Ondis: Well, as we have said couple of times, we have a good group of Executives in the company, one notch or so below us that we’re continuing to counsel and guide and watch them progress and we believe that when the time comes for us to step aside and I really thing that the test of stepping aside is not based on age, when I think it’s based on ability and performance. I’ll take a moment to blow the horns of the three of us who are sitting here around the table. I think we’re doing a pretty good job and I don’t think that any of us is quite ready to hand it up and I don’t think that the time has not come yet for us to hang it up, but there are some very good people coming along within the company and we expect to see those people proceed until finally they overtake us and we will gracefully step aside.
Joe Furst - Furst & Associates: I’m not urging you to step aside, that’s not the point. I think you’ve done a good job of it and you’ve been very conservative and as Garry said maybe a little bit too conservative, but it time for some aggressive action, especially with buying back stock and it will be best for the company and the shareholders and everyone involved. Thank you again and keep it up.
Operator: I show no further questions at this time; please continue.
Albert Ondis: If there are no more questions I think we’ll just say thank you all for participating and our next conference call will take place at the time of our annual meeting which will be toward the later part of March; we’ll announce the date later on. Thank you once again for participating and feel free to call us or write to us at anytime. We are always glad to hear your comments when we get your suggestions and so have a good Holiday Season and a good Happy New Year.